Operator: Good afternoon, and welcome to the WEC Energy Group's Conference Call for Fourth Quarter and Year-End 2024 Results. This call is being recorded for rebroadcast and all participants are in a listen-only mode at this time. After the presentation, the conference will be opened to analysts for questions-and-answers. In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately two hours after the conclusion of this call. Before the conference call begins, please note that all statements in the presentation, other than historical facts are forward-looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share unless otherwise noted. This call also will include non-GAAP financial information. The company has provided reconciliations to the most directly comparable GAAP measures in the materials posted on its website for this conference call. And now, it's my pleasure to introduce Scott Lauber, President and Chief Executive Officer of WEC Energy Group.
Scott Lauber: Good afternoon, everyone, and thank you for joining us today, as we review our results for calendar year 2024. Here with me are Xia Liu, our Chief Financial Officer; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. As you saw from our news release this morning, we reported full year 2024 adjusted earnings of $4.88 a share. I am pleased to report that, we delivered another year of solid results on virtually every meaningful measure, from customer satisfaction, to financial performance, to steady execution of our capital plan. In just a few minutes, Xia will provide more details on our financial results, and outlook. For 2025 earnings, recall that in early December we provided our guidance in the range of $5.17 to $5.27 a share. We continue to target a 6.5% to 7% long-term, compound annual growth rate. We have a robust capital plan, driven by strong economic growth in our region. The Wisconsin unemployment rate stands at 3%, continuing a long running trend below the national average. And as we discussed, there have been many exciting developments along the I-94 corridor, between Milwaukee and Chicago. In December, less than a year after Eli Lilly acquired a facility in Pleasant Prairie, the pharmaceutical company announced plans for a $3 billion expansion. Eli Lilly predicts the expansion, will add 750 highly skilled jobs in addition to 2,000 construction jobs, to complete the project. Microsoft is making good progress on its large data center complex in Southeast Wisconsin. Work continues on the first phase of the project. Microsoft took a short pause on construction, to evaluate the technical design of the second area. That pause was lifted and work has resumed. Microsoft is still reviewing designs, for the third area. Microsoft reports that the potential design changes, have not affected plans to invest $3.3 billion in the project by the end of 2026, and we do not anticipate these changes will impact our capital plan, or demand growth projections over the next five years. In fact, Microsoft purchased an additional 240 acres of land, just last week for another data center development. We're delighted that Microsoft continues to expand its commitment to the Milwaukee region. Also in January, Cloverleaf announced plans to develop approximately 1,700 acres in Port Washington, just North of Milwaukee, for another large data center campus. Cloverleaf projects that construction could start this fall. In the initial announcement, Cloverleaf expects the load to be one gigawatt. This development is very - in the very early stages, but all this load is incremental to our current plan. So we're off to a strong start to the year, with great economic prospects. To serve a growing economy, of course, we need to continue investing in our generation facility, and infrastructure. Our $28 billion five-year capital plan, which we updated October, is the largest in our history. A balanced generation mix is a significant focus, for our electric utilities. In the renewable area over the next five years, we have 4,300 megawatts planned for our expected investment of $9.1 billion. We wrapped up 2024 by bringing the Paris Solar Park into service, with an investment of approximately $319 million. It has added 180 megawatts of solar capacity for our Wisconsin utility customers. Next up on our schedule, we expect the 225 megawatt Darien Solar Park, to go into service later this year. Natural gas also continues to be a critical resource for reliable service. We expect the Wisconsin Commission, to make rulings on several major project filings throughout the year. That includes 1,200 megawatts of efficient natural gas generation, as well as 33-mile lateral and two Bcf of liquefied natural gas storage. Turning to our WEC infrastructure business, the Delilah I and Maple Flats solar project went online, at the end of last year. Between those two facilities, we invested approximately $890 million, or 90% ownership of 550 megawatts of capacity. And we expect to close, on the Hardin III project, during the first quarter. We plan to invest approximately $407 million for 90% ownership interest of the project, which has a total capacity of 250 megawatts. As a reminder, this project fulfills our five-year planned investment at WEC Infrastructure. Regarding transmission, as you saw in January, MISO announced capital investments on tranche 2.1. We expect ATC, to be assigned approximately $2 billion of that tranche, with an additional opportunity through the right of first refusal, or competitive bid of up to $1.5 billion to $1.8 billion. As you know, we own 60% of ATC. Overall, we have a lot of confidence in our ability, to execute on our capital plan and continue our growth trajectory. Now, turning to the regulatory front, I am pleased to report that we currently have no planned, or active rate cases. As you know, the Wisconsin Commission finalized their written orders for test year 2025 and 2026. Consistent with prior disclosures, the Commission maintained a 53% financial equity layer, and a 9.8% return on equity for our Wisconsin Utilities. In Illinois, we remain actively engaged in two proceedings of note. One of these is evaluating the future of natural gas in Illinois. Currently, it's scheduled to extend into 2026. The other, a review of our safety modernization program, is close to its conclusion. We made our final oral arguments before the Commerce Commission, last week and expect a decision this quarter. Next up, Xia will provide you more details on our financials.
Xia Liu: Thanks, Scott. Turning now to earnings, our 2024 adjusted earnings were $4.88 per share, an increase of $0.25 per share over 2023 adjusted earnings. In 2024, we experienced the warmest winter on record. The estimated weather headwind was $0.25 per share when compared to normal conditions. We were able to offset this by implementing a variety of initiatives such as O&M and fuel management, as well as tax and financing activities. This focus on execution was key for delivering our adjusted EPS near the top end of the earnings guidance. Now let's take a closer look at our year over year variances. Our earnings package includes a comparison, of adjusted full year results on Page 17. I'll walk through the significant drivers. Starting with our utility operation, weather decreased earnings year-over-year by an estimated $0.05 per share. This weather impact, along with a total of $0.38 negative impact, related to increases in depreciation and amortization, day-to-day O&M and interest expense were more than offset by $0.49 of total positive variances from rate-based growth, fuel, tax and other. All in all, the utility operations grew $0.06 year-over-year. Now, before I discuss earnings comparison at the other segments, let me briefly comment on O&M and sales. Remember that originally we guided 2024 Total company day-to-day O&M, to be 6% to 7% higher compared to 23, largely driven by assets that were placed in service, and normal inflation. As you recall, several of the assets in WEC infrastructure, had a delayed in service until the end of the year. This in combination with initiatives we took, after the mild first quarter helped us achieve an overall increase of 2% over 2023 that, is considerably lower than the original guidance. Regarding our weather normal sales for 2024, as you can see on Pages 13 and 14 in our earnings packet, both retail electric and natural gas deliveries in Wisconsin were relatively flat year-over-year. For 2025, we're projecting weather normal retail electric sales in Wisconsin, excluding the iron ore mine to grow 0.7%, and retail gas sales in Wisconsin excluding power generation to grow 1.9% from the 2024 level. Now back to our earnings comparison. Regarding our investment in American Transmission Company, earnings increased $0.07 compared to 2023. We recognized $0.05 in Q4, from the FERC order that resolved certain MISO, ROE complaints and set the ROE at 10.48%. The remaining $0.02 improvement in ATC earnings, was driven by continued capital investment. Earnings at our energy infrastructure segment grew $0.13 in 2024, compared to 2023. $0.03 were driven by additional investment in our power, the future plans and the remaining $0.10 related to WEC infrastructure. Finally, you'll see that earnings at our corporate and other segments, decreased to $0.01. Higher interest expense was substantially offset, by tax and other items. Overall, we improved our performance by $0.25 per share on an adjusted basis in 2024. Next, let's look at our earnings guidance. For the first quarter, this year we project to earn in the range of $2.13 per share to $2.23 per share. This forecast takes into account January weather, and assumes normal weather for the rest of the quarter. Remember last year we earned $1.97 per share in the first quarter, and as Scott stated for the full year 2025, we are reaffirming our annual guidance of $5.17 to $5.27 per share. Finally, some comments on financing. In 2024, we successfully executed over $4.5 billion of external funding, including almost $200 million of common equity. In 2025, consistent with previous disclosures, we expect to issue $700 million to $800 million of common equity, via our ATM program, as well as the dividend reinvestment and employee benefit plans, including this as a reminder, total common equity financing over the next five years is still expected to be between $2.7 billion and $3.2 billion. Going forward, to support the region's strong economic growth and our capital investment, we continue to expect any incremental capital, will be funded with 50% equity content. Overall, we are confident in our long-term EPS growth, CAGR of 6.5% to 7%. With that, I'll turn it back to Scott.
Scott Lauber: Thank you, Xia. Now, as you may have seen, our Board in its January meeting, increased the dividend by 6.9% to an annualized $3.57 per share. This will mark the 22nd consecutive year that our shareholders will be rewarded with higher dividends. The increase is consistent with our policy of paying out 65% to 70% of our earnings in dividends. Overall, we are on track and focused on providing value for our customers and our stockholders. Operator, we are now ready for the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Shar Pourreza with Guggenheim Partners. Your line is open.
Shar Pourreza: Hi, guys.
Scott Lauber: Hi, Shar.
Shar Pourreza: Hi, Scott. Surprisingly, a couple of data center questions for you. First, I just want to. Scott, if it's okay, just want to touch on the recent Cloverleaf data center announcement. Looks like it's a 1,000 acre of campus in Port Washington. There's been some local headlines have kind of indicated that, there's been pushback from the constituencies and some of the local, obviously ratepayers. Could we just get a status there? What's the timing, expectations? How many megawatts is the project expected to be, and would this be incremental to your current plan? Thanks.
Scott Lauber: Sure. Absolutely. So, they announced the plan up in Port Washington, which is just North of Milwaukee. And our understanding it's about 1,700 acres. So a little over the 1,000. There was an announcement at one-time being 1,000, but I think they're up to 1,700 acres now. And right now the initial look, and in their initial announcement they talk about a gigawatt of additional, which would be all incremental to our plan. I think there's, it's early stages yet. So 1,700 acres provide a lot of opportunities. And my understanding is Port Washington, and the city of Port Washington has been very, very constructive and positive on the development. So we're excited about it. I think Cloverleaf is excited about it, and looks like a good opportunity for all of us.
Shar Pourreza: Got it. And then just sorry Scott, any opportunity would be incremental to the current plan?
Scott Lauber: Correct? Correct. So that 1,800 megawatts that we talked about in our current five-year plan, that never contemplated any of this, that was just announced. And when we wait till the customers make an announcement, like I said before, we've talked to a lot of data centers, and other developers, but as they make announcements that's when we'll first start rolling them into our plan. We'll take time now as we go through the plan and working with them this summer, and when does that stage, throughout the five-year plan and into the future five-year capital.
Shar Pourreza: Got it. Perfect. And then just touching on just some of the recent Microsoft news. There's obviously been reports, and we're seeing it. They're acquiring more land in Wisconsin so it looks like it's full speed ahead. Obviously the deep sea headlines, have caused some confusion around U.S. spending opportunities, and then there's Stargate. Are you seeing any sort of impacts in either direction with the Microsoft spending opportunities or trajectory? So just any kind of visibility there, and is there any update on the tariff negotiations? Thanks.
Scott Lauber: Sure. So in the Microsoft, in fact I was listening to the Microsoft conference call to get Intel, on what their thoughts are on DeepSeek and other conference calls, about it and everything I've heard is, if AI becomes more efficient, more people will use it, and the demand is going to still be there. So, we also internally when we saw DeepSeek and other discussions about that, we reached out to data centers and even you know, the discussion that happened in Cloverleaf is after the DeepSeek. So all our all our capacity plans, and all our growth plans are still intact. There's no changes there. So that's been all very positive what we have seen. And just to be very clear, there was an area, two areas in the Microsoft project that was paused. The one area has been release of the pause, design issues that they're looking at. And then the other area is still being reviewed, on design items that they're looking at. I think, it has to deal with looking at a closed loop water system, so that we expect to get more information on that in the next couple months. So all moving forward there, we're actively working with these large, very large customers on tariffs. We expect something probably in the next six months that, we'll be filing with them. But, we're all aligned on what we need to do in order, to be fair on cost allocation. And they all agree they need to pay their fair share. So more to come, but all positive.
Shar Pourreza: Fair enough. Scott, thanks again. Super helpful color. See you soon. Bye.
Scott Lauber: Yes.
Operator: And your next question comes from the line of Bill Appicelli with UBS. Your line is open.
Bill Appicelli: Hi, good afternoon.
Scott Lauber: Hi, Bill.
Bill Appicelli: Hi. Just going, a little bit expanding on the - incremental demand that you're seeing. I mean, as we look across, the 1,800 megawatts you guys outlined, back in Q4, can you just remind us of what the generation capacity looks like, and when you factor in the combustion turbines and some of the stuff that's in the current plan. And where does that get you in terms of net length in the system, relative to what may be another wave of incremental demand from - maybe from Cloverleaf, or from additional Microsoft development?
Scott Lauber: Sure. And as we put our five-year plan together last fall with the 1,800 megawatts in the Southeastern Wisconsin region, which is all the great economic development going on in the region in addition to Microsoft. We are looking at the generation plan and the MISO rules, and really building to what we need for capacity, to support the MISO rules and the economic development. So there's not excess capacity out there. This would all be incremental support that we'd need for reliable capacity. So that will be reflected in our updated capital plans going forward?
Bill Appicelli: Okay. Right. So, if projects like Cloverleaf were to come to fruition and a Microsoft expansion that, would likely need to be supported by additional generation investments?
Scott Lauber: That is correct. And a lot of these investments, are looking for a mix of not just reliable gas capacity, but also renewables in a generation mix, just like we lay out in our plans.
Bill Appicelli: Okay. And then, I mean, how quickly can that be developed? I mean, there's a lot of talk in the market about just the lead times, for putting in additional generation capacity, and whether or not that syncs up with sort of the development profiles, or timelines of some of the data centers and large load customers?
Scott Lauber: That's a good question, because a lot of people, a lot of people have plans and everyone wants to move very fast. Would you look at to develop a data center starting with a farm field along with the transmission and the generation - it could take three to four years to get there. But that's why we're working hand in glove with them and American Transmission company to continue to grow, and what we need to do to deliver.
Bill Appicelli: Okay. And then just lastly on the system modernization program hearings last week, I guess what should we make of the decision when we get it? I mean does that have any impact on the gas CapEx outlook in Illinois, in the more near term, or do we need to see what the future of natural gas proceeding kind of yields, before we can make any longer term, capital decisions?
Scott Lauber: Sure. And just to give you a little color, what we currently have in our plan is approximately $90 million annually to support, facility relocates for like the city of Chicago, or any key reliability or safety issues that we need to address. So it's about $90 million. In our filings we talked about in order to get back to a plan that would take up, to about 300 million of capital. Now remember, the decision will come, we expect in February and we'll kind of gauge what's going off of their decision. But it would take a while to ramp up, because remember we were told to pause and stop all activity and reduce that spending. So we'd have to put more contracts in place, go through the permitting, go through the engineering, all of that. So take a while to ramp up. But we'll see what comes out of that decision in February. We expect it in February, March.
Bill Appicelli: All right, great. Thank you so much.
Scott Lauber: Thank you.
Operator: Your next question comes from the line of Durgesh Chopra with Evercore ISI. Your line is open.
Durgesh Chopra: Hi team, good afternoon. Thanks for taking my questions. Just to start off, any updates on Point Beach. I know you were kind of talking with NextEra. Are there any updates there since we last spoke?
Scott Lauber: No, there really hasn't been any updates. And just so everyone recalls, the contract at Point Beach, the first lease ends in 2030 and the PPA, the second PPA ends in 2033. So it's not, it's not a fire drill that we're actively at it, and you could, we've been busy with a lot of stuff. And I think you can tell NextEra has been busy on a lot of stuff. So it hasn't been on the front burner for all of us. I expect, we'll have more information in the first half of the year.
Durgesh Chopra: That's perfect. Thank you, Scott. And then, maybe just a big picture question, with these tariffs, how should we - how should investors think about implications to Wisconsin and just broadly utilities? Seems like these China tariffs are in effect right now. We're not sure how long they'll last. But how are you thinking through all of this?
Scott Lauber: Well, we're watching them very closely, as you can imagine. In the China tariffs could affect us somewhat, when you think about some of the solar projects we have, and some of the sourcing that's needed. But once again, it's not a large part of the solar projects. So we think it's very manageable where they're currently at. And the tariffs that we, potentially out of Canada, Canada and Mexico. We were watching very closely also, along with the cost of gas. But even with the cost of gas, when you're watching it at a 10% tariff that, was moving that gas cost from $3 to $3.30 and that's a small portion of the gas supply that we have. And we saw the gas prices move a lot faster, with just some cold weather coming across. So, we think it's going to be manageable, but we're watching them very closely.
Durgesh Chopra: Got it. Thank you, Scott. Really appreciate the time.
Scott Lauber: Thank you.
Operator: And your next question comes from the line of Carly Davenport with Goldman Sachs. Your line is open.
Carly Davenport: Hi, good afternoon. Thanks for taking the questions. You referenced before renewable capacity as being part, of what is being considered by some of these large load customers. I guess do you see any implications from new policy priorities post inauguration that could potentially impact the cadence of your capital investment in renewables?
Scott Lauber: There's a potential and we're evaluating all of that, as we see what goes on with the administration, and the tariffs and production tax credits. However, I do think, that production, the PTCs will continue, and they won't just be phased out immediately. I think there's a longer term benefit for a lot of people, a lot of construction jobs, a lot of value for our customers. So I'm not anticipating big changes there. But of course all of us, including large customers are watching it. But at this time I don't see any issues on the horizon.
Carly Davenport: Got it. Great. That's helpful. And then maybe just a housekeeping item. Just with the O&M coming in lower in 2024, versus your expectations. Any color that you can provide, on how we should think about the year-over-year impacts for O&M looking to 2025?
Scott Lauber: Sure. And I'll let. And remember, there's a lot of this, because of individual projects didn't come into service. And a lot of new projects are coming online in 2025. But Xia has pulled together some analysis. I'll let her walk you through it.
Xia Liu: Yes, Carly. So over, remember, '24 came in about 5% less than what we originally forecasted. And some of that is short-term initiatives to offset the mild heating season. And some of that is delayed of capital put in service. So we need to restore that kind of run rate first of all. And on top of that we have new projects, we will put in service this year. And also in the current, the last weekly season Wisconsin, the commission approved some increase in reliability spending, particularly for vegetation management. If you add all those moving pieces, it could be a relatively bigger growth year-over-year, but it's all like - driven by the factors I mentioned already.
Carly Davenport: Got it. And when you say higher relative growth year-over-year, are you talking about in reference to the original guidance for '24, or where you actually ended up coming in?
Xia Liu: When compared to original guidance, it's pretty normal. But if you compare to what 2024 came in, it could be, I don't know, 8% to 10% growth year-over year.
Carly Davenport: Okay. Got it. That's super helpful. Thanks so much for the time.
Operator: And your next question comes from the line of Julien Dumoulin-Smith with Jefferies. Your line is open.
Julien Dumoulin-Smith: Hi, good afternoon team. Thank you guys very much. Hope you guys are doing well.
Scott Lauber: Yes, thanks, Julien. Yes, we're doing great in Wisconsin.
Julien Dumoulin-Smith: Excellent. Hi, just a couple cleanup items here following up first in Illinois. I want to come back to this, because that staff recommendation for Option 3 at seven point, this was $1.9 billion. That was a big number. Obviously you've put in, a fairly modest plan here. How much of a delta is there, versus what you guys have reflected? I mean I just again, I get that apples-to-apples is difficult to discern at times, but how would you characterize that, as far as the comparison?
Scott Lauber: Sure. And to get up to that staff number, because they even said we should maybe do it at the same pace, or even a little bit faster. To get up to that staff number, we'd have to ramp up to $300 million to maybe $350 million a year in the short-term. And then, go higher than that as you get through just with - you're factored in just different inflation and stuff. So we'll see where that goes. But that would be, 200, so a little over $200 million more than what's annually more than what's in our plan.
Julien Dumoulin-Smith: Got it. All right, thanks for trying to reconcile. I know it's tricky on the fly here, and then just going back to. I know there's been a lot of focus on the data center stuff, but I just want to make sure I got this right here. Do we know the quantum of megawatts? I thought there was like a 3 gigawatt number out there with Cloverleaf? Do we have any sense of timing at all on the ramp? And similarly for Phase 3, what would be contemplated on ramp? I just want to make sure - I have a sense from you even, which you were to get details here the quantum of gigawatts, and especially the ramp rate. And would this be ready for like a, some updates this year? It sounds like Maybe that's not a '25 event in as much as it could take some time to come together on those issues?
Scott Lauber: Sure, sure. In Cloverleaf you know, it is a tremendously nice site. It's a great opportunity. And in our prepared remarks we said a gigawatt. I have heard that it could be significantly larger. Like you mentioned. I anticipate that if things continue to move as they have that we could start seeing some construction perhaps this fall. But that ramp rate, then to actually get to energy flowing probably would take three to four years, I would imagine to flow substantial amounts. So probably in that '28 or '29 timeframe. But we're working with them, and working with American Transmission Company to provide services, as fast as they can. They need it.
Julien Dumoulin-Smith: Got it. Phase 3 says similar dynamic that maybe - the punchline is would you expect there to be kind of a tangible update, by the end of this year, kind of in your normal course…?
Scott Lauber: Absolutely.
Julien Dumoulin-Smith: Just to set expectations today?
Scott Lauber: Absolutely. Okay. Great. Yes, I think - there'll be more of an update, by the end of this year absolutely, with our updated five-year plan.
Julien Dumoulin-Smith: Okay. Perfect. Thank you guys very much. Appreciate the time.
Scott Lauber: Thank you.
Operator: And your next question comes from the line of Andrew Weisel with Scotiabank. Your line is open.
Andrew Weisel: Hi, good afternoon.
Scott Lauber: Hi, Andrew.
Andrew Weisel: My first question, and you might have just been alluding to this a moment ago, but I was wondering when we might get the next updates to the long-term spending plans. You typically give those in November. I know, but you've already mentioned $2 billion of MISO transmission spending with maybe almost $2 billion more to come soon. The Cloverleaf spending adding, more incremental CapEx and possibly some other needs. Should we expect to hear anything between now and November, or would we wait till the later in the year for your typical timing?
Scott Lauber: Sure, that's a great question. And just to set expectations, I anticipate it'll be in that October, November time frame and here's why. The American transmission growth that we're talking about 2.1, that's most likely in that '28, '29, more in the '29, '30 and past timeframe. So later out farther. So it really won't affect this five-year plan as much. And then as you think about these additional megawatt hour sales potential. As we said, it'll take a while to ramp up, probably later in the five-year plan, and we'll pull all those plans together right now. So it's not like it's really going to affect dramatically in '25 or '26 or '27 probably.
Andrew Weisel: Okay. Great. And then, I guess similar question on the regulatory front. You obviously just completed your two-year rate case in Wisconsin, but you'll probably need to make some important investment decisions, sooner than the next rate cases. So you made the comment about a quiet regulatory calendar, but how do we juxtapose that with a very busy environment, with economic development?
Scott Lauber: Sure, that is a very good question. And we have from a rate case perspective, it's very quiet. From a Wisconsin perspective, as we have significant number of projects at the commission right now for approval. So I think we have close to $5 billion of projects sitting at the commission between, the gas generation which includes CTs and RICE units, a gas lateral, the LNG plant that we put in service to have that additional reliability, plus solar, wind and some battery capacity. There's a lot of projects at the commission to get approval. When they get approval, they get approved, which we anticipate some of the gas turbines to get approved by, probably in the second or third quarter. We'll start construction and during that period, we're really incurring or earning AFUDC on those projects. And then, they'll go into future rates, and probably future rate cases. It takes a while to build. So we do have a, a very busy schedule getting approval on projects.
Andrew Weisel: Okay. Great. That's really helpful. And one last one. At WEC Infrastructure, I believe you've now completed all of your planned spending for the five-year outlook. So first question, am I correct that 2025 will still have some earnings growth thanks to the recently completed projects? And then second, how do you think about your appetite for incremental unregulated projects? You obviously have a ton of utility opportunities. How do you think about the opportunity for more stuff at [WECKY].
Scott Lauber: Sure. And you described it very well. We've had two projects that came in the end of last year. One we expect to close, the next one we expect to close in the first quarter this year. So there's incremental, which includes incremental production tax credits. But you hit the nail on the head. We have so much growth in Wisconsin and American Transmission Company that, right now we don't have anything in our plans for that WEC infrastructure. Now, never say never, but right now we really don't have any plans in that infrastructure, because we have so much to execute within the utilities.
Andrew Weisel: All right, very good. Thank you.
Scott Lauber: Thanks, Andrew.
Operator: And your next question comes from the line of Michael Sullivan with Wolfe Research. Your line is open.
Michael Sullivan: Hi, good afternoon.
Scott Lauber: Hi, Michael.
Michael Sullivan: Hi, hi. Scott. Wanted to go back to just the sales growth conversation. I think, given everything seems on track with maybe even upward bias, I think you're pointing to just shy of a 1% growth, on the electric side this year. Are we going to get into that like 4.5%, 5% range by next year? Is that still a fair assumption to work with?
Scott Lauber: Yes, and Xia has looked at that. We're slowly going to start to see some ramp up. But really the big stuff goes into service in 2026. Xia any other?
Xia Liu: No, I think that's it. Embedded in that 0.7% growth is the LC&I growth, which is about 1.9%, Michael. So that's a good, nice ramp up from, where we landed in 2024. And I mean, everybody is focused on data centers, but we really have really good growth across all the 16 sectors that we track. Just to give you a sense, 11 of the 16 sectors last year had positive or relatively flat growth by the end of 2024. So we feel really good about the forecast for '25, and we think the 4.5% to 5% will be reached maybe in the, I don't know, late 2026 time frame.
Michael Sullivan: Okay. Very helpful. Appreciate the color there. And then switching back to the ATC side of things, just the upside potential beyond the $2.1 billion. When would you anticipate getting some clarity on that? Whether it be competitive bids or the ROFR option?
Scott Lauber: Sure. And the ROFR option, American Transmission Company is working with the legislature, to hopefully get something adopted, or proposed and hopefully approved in this quarter or this first half of the year. And then I think if there's a bidding option, I think those bids would be required. If we don't get the ROFR, those bids you require probably in the first half of this year, too. So more would come in the next couple next year or so here. Now, when we look at the ROFR and the ROFR, when you're in Wisconsin and you have the ROFR, it's a great investment for our - for American Transmission Company. But it also, when you look at the cost and how they're allocated, it's a good investment also for our Wisconsin customers. It saves money for them, too. So we think there's a great opportunity for the ROFR in Wisconsin.
Michael Sullivan: Great. Thanks so much. Appreciate it.
Scott Lauber: Thank you.
Operator: And your next question comes from the line of Jeremy Tonet with JPMorgan. Your line is open.
Jeremy Tonet: Hi, good afternoon.
Scott Lauber: Hi, Jeremy, how you doing?
Jeremy Tonet: Good. How about yourself?
Scott Lauber: Not bad, not bad, good.
Jeremy Tonet: Just a real quick one from me, right. I was thinking with regards to your experience with the RICE engines there. We hear a lot about speed to market these days. Do you think your experience with RICE units, be it at the utility or WECKY would offer you kind of the ability to give a differentiated service as it relates to speed to market?
Scott Lauber: Well, that's a good question. And we have the RICE units in our plan. We've got three sites of RICE units up and running. Very happy with the RICE units. And we have a combination of RICE units along with CTs. So we look at it, kind of at all of the above and how do we grow our generation to be reliable? And RICE units is just part of the complement. I don't know. I think it's good to have them part of our mix. But I don't know, if we just go 100% with RICE units or CT. So it's been a combination. So they're very good and they've been very effective for us, as we've been using them in our load here for a couple years now.
Jeremy Tonet: Got it. That's helpful there. Thanks. And I might have missed it earlier, if you touched on it already. Sorry, but any thoughts on OpenAI CFO mentioning Wisconsin, as a possible data center site, and beyond Microsoft? Could you walk us through your ability to accommodate if you do get more of these, more people coming in?
Scott Lauber: Sure. And like I said, our development people are talking all the time with potential opportunities, and we work with them and kind of lay out the game plan. You need to get transmission, but in order to get orders in and stuff, you need to significant in, your purchase cancellation agreements, to protect our core customers. So we're working with a variety of people. So potentially there's even more out there. But we just got to get into the queue, and lay out a game plan with them. So there's always more potential.
Jeremy Tonet: Got a quick last one if I could. With all this hitting in the back end of the plan, how do you think this might impact the CAGR?
Scott Lauber: We're going to put all that together this summer as we look at our fall here, and we'll update that and whatever we decide to do, they'll come on our third quarter call.
Jeremy Tonet: Fair enough. Thank you very much.
Scott Lauber: Thank you.
Operator: Thank you. And your next question comes from the line of Paul Fremont with Ladenburg. Your line is open.
Paul Fremont: Thank you. Quick question of clarification for the sort of for the Microsoft pause. My understanding is that the closed loop design, is also being used in Arizona. Is the pause, Wisconsin specific, or is it more generic to all of their facilities that are going to use the closed loop design?
Scott Lauber: Well, I don't know the specifics of what's going on the other projects. I did read that there, projects going forward, new projects including Arizona and Mount Pleasant will pilot, zero water evaporating designs in 2026. So I can't speak to the other projects in Microsoft's area. I know ours is a short pause here, and they've already started one of the sites back up. It's just the one that's on a pause still.
Paul Fremont: Great. And then just a quick question on sort of any comments on the NextEra GE Vernova partnership and what impact that might have on the availability of gas turbines, as you move out into the future?
Scott Lauber: That's a good question. And what we have in our five-year plan, we have already sites to that generation, and we'll see what the demand is, as we continue to work with our large customers for '29, '30, '31. I mean there's no doubt that GE is probably ramping up their supply, and their ability deliver more units. So we'll see where it goes.
Xia Liu: Paul, the good news for us is our current CTS and generation plan. In the current five-year plan, we already signed the contract, so we're ready to move right now for this phase.
Paul Fremont: Thank you. Thank you very much.
Scott Lauber: Thanks Paul.
Operator: And your final question comes from the line of Paul Patterson with Glenrock Associates. Your line is open.
Paul Patterson: Hi, good afternoon.
Scott Lauber: Hi Paul.
Paul Patterson: Just a few quick questions so on. In Illinois, when you guys had your gas case, there was an Ameren gas case that, was kind of at the same time frame. And they've gotten an order from the appeals court that reversed some of the denials, or some of the denials and what have you. And I was wondering how you felt, how that. If that has any - impact on your thoughts regarding, the gas situation would you set your S&P, or your other. I think you guys also appealed your gas case, or if I'm not wrong, if there's any maybe carryover there that you might be thinking about?
Scott Lauber: Sure, that's a good question. And I did see where some of those repeals were sent back to the commission. And we also have appealed our rate case order specifically, as it related to some of our service center facilities that were denied 100%, and other aspects of the case. We'll see where our appeals go as it relates to the S&P. I think we'll, I think our record was very clear. It's needed for reliability. It's needed for safety. There's a lot of old pipes in the city of Chicago. In fact, we're working on one back from 1861. So I think the facts of the case are going to drive it as the S&P for what we'll see in the next quarter here. On the appeal, we'll see where the court goes with our appeal. I think it's in a different circuit, but it's somewhat positive to see appeal that Ameren won, a few of them to go back to the commission.
Paul Patterson: Okay. And then finally, just a. Just a bookkeeping on the extinguishment of debt. What are your expectations in going forward, on what kind of opportunities might be there with respect to that category?
Xia Liu: Well, we've been using that as a, you know, I don't know. It's not in the plan, but we try to be opportunistic. Last December, when we extinguished some of the debt, we were able to realize some gain, but really also kind of neutral for 2025. So we want to be flexible. And if. If you have a really bad year in weather, or something, that could be a tool for us to consider. And so, but it's not in the base plan.
Scott Lauber: And we'll have to also see what the market's like at that time.
Xia Liu: Exactly.
Paul Patterson: Okay. And the opportunities are being driven pretty much by interest rates. Is that how we should think about it, or is there anything else? Something unusual that doesn't come to mind?
Xia Liu: We'll see market conditions, interest rates, and everything around it.
Paul Patterson: Awesome. Thanks so much.
Scott Lauber: Thank you. Well, that concludes our conference call for today. Thank you for participating. If you have any more questions, feel free to contact Beth Straka at 414-221-4639.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.